Thomas Pevenage: Hello, everyone, and welcome to the presentation of IBA's results for the first half of 2025. I am Thomas Pevenage, Head of Investor Relations. As usual, you will find this presentation on the Investor Relations page of our website. A question-and-answer session will follow the formal presentation. Moving to the next page, let me draw your attention to the company's disclaimer for forward-looking statements, which, as you know, are based on our current assumptions and beliefs and subject to risks and uncertainties. Today's speakers are Olivier Legrain, our Chief Executive Officer and IBA Clinical Lead; Henri de Romree, our Deputy Chief Executive Officer and IBA Technologies Lead, and we are pleased to welcome Catherine Vandenborre, our newly appointed Chief Financial Officer and IBA Corporate Leads. As you know, Catherine joined us on the 1st of July. Please note the agenda for today's presentation. We'll start with our highlights for the period, followed by a business review where we will discuss the strategic progress and the financials of each business unit. And finally, we'll cover our financial performance in more detail and give you an update on our guidance and outlook.
Olivier Legrain: Thank you very much, Thomas. Good afternoon, everybody. We are happy to share our achievement with all of you today. We are proud to announce a strong first half of the year, underpinned by accelerated conversion of the project backlog, improved profitability and sustained strategic momentum across our 4 business units. Our revenue reached EUR 304.9 million, reflecting a steep increase of 40% compared to H1 2024. This growth was driven by the accelerated backlog conversion in both IBA Clinical and IBA Technologies. Our gross profit reached EUR 90 million, corresponding to a gross margin of 29.5% versus 32.6% in H1 last year. This was due to a less favorable equipment profitability mix driven by legacy low-margin projects in Proton Therapy and some customer delays. Despite this, we achieved a significant increase at the REBIT level at EUR 10.6 million, benefited from both strong sales and disciplined OpEx, which was 26% of net sales, well below our long-term target of 30%. More specifically, we are pleased that IBA Clinical achieved a breakeven REBIT driven by the scale-up of Proton Therapy activities and the financial turnaround of Dosimetry. Bottom line, we recorded a net loss of EUR 2.6 million for the first half of the year, given some negative impacts below REBIT, which Catherine will further detail during the financial review. Our strong backlog conversion led to temporary additional working capital requirements driven by contract assets, resulting in a net debt position of EUR 30 million. Despite this peak in the working capital cycle, which is expected to normalize with the deliveries of our large Spanish and Chinese orders in Proton Therapy, our net leverage ratio remained healthy at 0.62. In view of this consideration, we reaffirm our guidance for the year 2025, meaning a minimum of EUR 25 million REBIT, underpinned by positive REBIT for Proton Therapy. Let's now have a look at our business highlights. Our backlog decreased to EUR 1.3 billion, down from an all-time high of EUR 1.5 billion in view of the accelerated backlog conversion, exceeding our order intake for the period. Our EUR 107 million order intake is an encouraging start of the year with IBA Technologies maintaining the same number of systems sold as H1 last year, but larger configurations, Proton Therapy recorded one sale in Taiwan in H1. That said, we also announced post period, the signature of a contract for ProteusONE with the prestigious University of Heidelberg in Germany. This investment represents a significant expansion of their particle therapy program active since 2010 and will ensure continued access to cutting-edge highly targeted cancer treatment for patients. And finally, today, we announced the signature of two additional ProteusONE. This contract reinforced IBA position as a trusted partner for leading institution and confirm the growing global demand for Proton Therapy. With this post-period contract in Proton Therapy, Dosimetry and Technologies, our order intake is now close to EUR 190 million. Overall, our market continued to display dynamic conditions despite a more challenging geopolitical environment. We will further comment on this development. Let's move now to the review of our business performance, starting with IBA Clinical. During our Capital Market Day, we outlined our strategic focus around three [indiscernible], as you remember, related to: one, strengthening of our technological leadership; number two, to grow in our key markets, including Asia and the U.S.; and finally, the expansion of our activities along the value chain. Let me share a few highlights of our progress in this area. In Proton Therapy, we have made several notable achievements. We launched the -- sorry, we launched the Proton Therapy Academy, a unique platform for knowledge sharing and training that brings together the world's leading expert and practitioner in the field. This platform is intended to support the awareness and the clinical adoption of Proton Therapy, thanks to our community of domain experts. Besides, we reached a significant milestone in the development of our DynamicARC technology, completing full treatment on phantom with our prototype at the Corewell Health site. We are, therefore, on track for FDA submission before product release in 2027. And also, we continue to progress on our service profitability initiatives, which, as you know, are key driver of IBA Proton Therapy, current and future profitability. In a different domain, our partner for carbon therapy, Normandy Hadrontherapy is moving in the development of its first system. Catherine will revert on this in the corporate business review. We also achieved a notable milestone in Dosimetry with the launch of QUASAR Phantom solution for magnetic resonance simulations in radiotherapy as well as the diversification of our imaging portfolio through the acquisition of Radcal in the U.S. and a partnership with a start-up company, PhantomX in Germany. As expected, backlog conversion accelerated in the first half. The total backlog stood at EUR 1.1 billion at the end of June, down 10% versus full year '24, reflecting strong execution alongside an H2 weighted order intake profile. The service backlog is EUR 634 million, slightly lower than prior years, mainly because of contract structure shift and timing of renewals. However, it remains supported by 57 active operation and maintenance contracts and a growing installed base that will continue to underpin long-term revenue visibility. Post closing, the addition of Heidelberg and two other ProteusONE orders brought EUR 68 million of order intake, further strengthening IBA's market position. As you know, the expansion of our installed base is a key driver of our strategic and financial plan. Our global footprint now consists of 46 operational sites, fairly evenly distributed across America, EMEA and APAC regions. As compared to the end of last year, two systems started treating patients in Asia, in China, in particular, one in Shenzhen and one in Chengdu. In addition, we currently have an all-time high number of 9 systems under installation and a further 29 projects in production across all 3 regions. This project represents the next wave of growth for IBA, supporting both near-term revenue visibility and the continued expansion of our global reach in providing Proton Therapy access to all patients that could benefit from it. We maintained our market leadership in Proton Therapy with 1 system sold over the first half and 3 additional post-closing of the period. As a result, IBA has by far the largest installed base in the market with close to half the rooms in operation. This provides us not only with operational leverage, but also with the most robust platform to promote Proton Therapy together with our clinical partners. Proton Therapy equipment sales more than doubled, significantly driving our top line. This remarkable growth resulted from the strong acceleration of our backlog conversion with large-scale procurement activities in Spain, China and the U.S. and 9 installations ongoing. This year, our supply chain is delivering a record number of 12 systems for Proton Therapy, a unique performance in the industry. Our service revenue grew by 4%, supported by our expanding installed base and strong performance in system uptime. Services contributed to 40% of the Proton Therapy top line. As a result, REBIT improved by EUR 3.6 million during the period. This brings us closer to our target of achieving breakeven REBIT level in Proton Therapy by the end of 2025. That said, profitability continues to be impacted by the delivery of legacy lower-margin projects in Spain and China as well as by a few significant customer-related delays that have resulted in notable cost overruns. The weight of this project on our overall project portfolio is nonetheless fading over time. Dosimetry delivered a solid performance in the period. Top line grew by 9%, driven by strong backlog conversion, particularly in Proton Therapy, quality assurance and conventional radiation therapy. Profitability has also improved with the gross margin increasing by [ 2.3 points to 46 of 8.8% ], reflecting higher contribution margin from revenue growth and structural efficiency gains. This has been driven by increased volume at the Shanghai factory as well as the successful relocation of production in Germany. REBIT more than doubled to EUR 2.3 million, putting the business back on track. Competitive intensity is increasing, especially in the U.S. and tariffs are expected to weigh more heavily on the U.S. and Chinese activities. Importantly, Dosimetry remains unaffected by the recent procurement restrictions for medical device between Europe and China. I hand over now to my co-CEO, Henri, to comment on the performance of IBA Technologies.
Henri de Romree: Thank you, Olivier. Let's first have a look at the strategic progress of the Industrial and RadioPharma business units. On the Industrial Solutions side, I would like to highlight a few key achievements for the first period. Firstly, in terms of expanding in our technology, I would mention the good market dynamics in X-ray sterilization as illustrated by our contract with a major U.S. sterilization player, Steri-Tek. Another important development in line with our ambition to expand along the value chain is that we have reached important derisking milestones for the development of an industrial scale solution for PFAS decontamination. More concretely, we have run multiple tests with different samples of PFAS loaded water and carbon filters in order to optimize irradiation conditions and maximize throughput. Leveraging on these additional results, our next step is to develop an industrial scale pilot unit, partnering with industrial and potentially public stakeholders following our capital-light approach to new ventures. Turning now to RadioPharma solutions. I would like to highlight our commercial momentum in both emerging and mature markets and applications. For instance, we have sold a high-energy Cyclone IKON to a customer in Taiwan and 4 CycloneKIUBE systems in the U.S. as part of a single order to a CDMO company. The IBA Cyclone IKON indeed provides unique value to our customer with approximately a doubling of production output versus our nearest competitor. Additionally, we launched CASSY, a new compact synthetizer platform to produce radiometals, which reinforces our offering in the fast-growing radiochemistry segment in line with our strategic focus. In the field of theranostics, we are making solid progress with the development of a dedicated alpha cyclotron for the production of Astatine-211, the next generation of highly anticipated theranostics after Lutetium-177 and Actinium-225. IBA Technologies equipment backlog decreased over the half of the year given the strong conversion and the H2 weighting of order intake in the Industrial Solutions. As you know, we do not report any service backlog data for technologies as these are mostly related to short-term, 1-year maintenance contracts with no permanent presence of an IBA team on site. Looking now at the financial results, I'm pleased to share the excellent performance of IBA Technologies in the first half of 2025. Net sales grew by 30% year-on-year to EUR 115 million, driven by both a faster conversion of our equipment backlog and increasing services sales from our growing installed base. As a result, REBIT almost doubled versus last year, reaching EUR 13.1 million, supported by a favorable product mix as well as disciplined cost management. As pointed out by Olivier in his introduction, Technologies posted a sound level of order intake with the sale of 14 accelerator systems at a higher average price than last year.
Olivier Legrain: Let us now address barriers to entry affecting certain markets, namely the U.S. and China. As far as U.S. tariffs are concerned, uncertainty has reduced with duties set at 15% for imports out of European Union without exemption for medical devices. We confirm the overall assessment share during our Capital Market Day in April and have more precisely estimated the impact over the full year 2025. There will be a marginal impact on our equipment backlog profitability and a negligible one on our service activities. As far as order intake is concerned, we have seen a limited to no impact at this stage for Proton Therapy, possibly considering that these projects are developed and operated over the long term with an economic lifetime exceeding 20 years and that the Proton Therapy equipment value usually represent less than half of the total investment. For RadioPharma and Industrial Solutions, there is a limited to no local competition with local manufacturing, meaning that we remain competitive. In Dosimetry, the overall impact of tariffs has been negligible in H1, yet it is expected to become more significant in H2 where local competition may amplify effects. That said, we have been proactively expanding our global supply chain for some time, which should partially mitigate top line and profitability pressures. Though not related to tariff, we would also like to comment on the One Big Beautiful Bill, which may limit reimbursement for Proton Therapy treatment delivered to medical -- to Medicaid patients. As per our assessment, the impact should be limited as Medicaid patients typically represent a low proportion of the center's patient mix. Let's now take a look at China, which typically represents approximately 15% of our revenues. In July, China announced restrictions on government purchase of medical device from European origin valued at over RMB 45 million or about EUR 5.4 million. As restrictions are related to large medical devices only, our Proton Therapy equipment activities are impacted, while the other business units are out of scope. As far as our multi-room ProteusPLUS solution is concerned, we are exempt from restrictions, thanks to our strategic partnership with the local company, CGN. However, the future development of our single-room segment branded as ProteusONE will be impacted. As a result, mitigation strategies for the ProteusONE market are currently under review. We are considering different paths, including seeking exemptions, securing a local partnership as we did with CGN and/or developing local sourcing. Let's move on to IBA Corporate. I will now give the floor to Catherine, who orchestrates the Corporate activities.
Catherine Vandenborre: Thank you very much, Olivier, and good afternoon, everyone. Let's start with an update on our new ventures. We are pleased to report good progress from PanTera, our joint venture launched with the Belgian Nuclear Research Center, SCK CEN. PanTera began the production in small batches of actinium in late June to support clinical trials. This is a significant positive step for the company and for the development of actinium-based treatments. Besides PanTera has secured its construction and nuclear safety permits, which is also an important milestone to break ground on its large-scale facility in early Q4 this year. Finally, all PanTera shareholders agreed to release the third tranche of the Series A capital increase, which triggered the revaluation of IBA's participation in August. This resulted in a EUR 7.2 million increase in the value of this participation, while all shareholding was diluted to 34.8%. Moving now to Normandy Hadrontherapy. The company is at a turning point for the development of its carbon therapy solutions. The call of the cyclotron was installed on site and is cooling down before the start of tuning activities, which is an important derisking milestone. Besides, the project is gaining commercial traction with prospects in the U.S. and Asia, thanks to its unique compact multiparticle technology. However, procurement delays and high inflation during the development phase have created a refinancing need. IBA as a 39% shareholder, together with the other main shareholder has contributed to a bridge financing, while the long-term fundraising effort is ongoing. Closing is targeted by Q2 2026. In another area, mi2-factory, our investment in the field of semiconductors is currently finalizing the specifications of the first machine to be developed by IBA following an in-depth review of market requirements. Let's now close the business review section and move to the financials in more detail. As outlined in the highlights, profitability has improved, thanks to top line growth despite some margin effect and OpEx increase in nominal amount. Profit before tax turned positive as a result. Those margin effects are due to the respective contributions of the group entities with a higher share of Proton Therapy activities and also to the project mix across the business units with a lot of backlog conversion on projects with a lower margin. Let's now focus on the evolution of OpEx, explain different efficiency measures that we are implementing and take you through the below REBIT items. OpEx increased by EUR 8.6 million, but remained well under control and 26% of net sales, below our long-term guidance of maximum 30% of sales. This evolution is driven by general and administrative expenditures to support the future growth of the business, such as digital initiatives and organizational transformation. OpEx also includes selected investment in R&D, mainly related to advancements in imaging, DynamicARC and CASSY in RadioPharma Solutions. Selling and marketing expenses remained stable at EUR 15 million to EUR 16 million. Increasing profitability is one of our top priorities. As you know, there was a key element, and this is a key element, of our strategic and financial plan and very concrete measures have been identified that will enable us to secure and grow our margin in the future. I would like to highlight a few of those measures as an illustration of our priorities and their concrete impact. In H1, we have focused on services, where we are strengthening on product reliability and scaling our service model to improve customers and IBA's economics targeting more than EUR 1 million savings in '25 and expecting more than EUR 2 million of performance-related revenue improvement. We have also launched a broad-based initiative tackling our indirect OpEx. In R&D, for instance, we are maturing our operating model to accelerate innovation and bring products to market faster, expecting to deliver more than EUR 1 million in productivity gains in '25. We also focus on capturing indirect OpEx savings with tighter cost control, generating more than EUR 1 million savings in '25 of recurring nature. All the savings are included in the guidance we gave and their implementation is progressing well. Let me now comment on the impacts below REBIT. PanTera had a negative contribution over this semester, but two factors will drive a reversal over H2. The first one is the start of early supply that will generate profitability at PanTera level. And the second one is the revaluation of our investments following the release of the third tranche of the Series A capital increase, which will have a position impact of EUR 7.2 million. Another element relates to our migration towards a new ERP platform, SAP S/4HANA. Execution is mostly taking place over '25 with testing ongoing as we speak. The main phase of the project is expected to be completed by early '26. Besides, our P&L was not immune to macroeconomic impacts with hyperinflation in Argentina. So slowing down still impacting our Proton Therapy project in Buenos Aires. We were also impacted by unfavorable evolution of the U.S. and Chinese currencies. As you know, our equipment project in foreign currencies are hedged, but these impacts mostly relate to the revaluation of balance sheet position and are henceforth generally noncash. Regarding hyperinflation in Argentina, the effect is expected to fade over time with significantly lower impact in '26 as the installation works come to an end. Operating cash flows were negative over H1 due to working capital movements. While inventories remained stable, contracts in progress in advanced billing had a combined impact close to EUR 90 million. This was a result of the accelerated backlog conversion across all business units, particularly in Proton. This trend will gradually reverse in '26, partly thanks to the delivery of the Spanish and Chinese projects, which trigger a large milestone payment. However, since this impact was only partially compensated by an increase in payables, IBA used its revolving credit facilities up to EUR 30 million as of June and decided to tactically increase these credit lines from EUR 60 million to EUR 80 million in July. This decision was made as a matter of financial discipline given the current peak in the working capital cycle and the general business environment. On the investment side, CapEx remained in line with previous periods, including the acquisition of a building in Louvain-la-Neuve for approximately EUR 2 million. Financial investment totaled EUR 7.4 million, including a EUR 3.9 million investment in mi2 and EUR 3 million in loans to the benefit of Normandy Hadrontherapy. In view of our business development and our financial performance over the first half of the year, we are very confident in our guidance for the full year, meaning a minimum REBIT of EUR 25 million at group level, supported by a return to profitability for Proton Therapy. We also reiterate our medium-term outlook while being mindful of geopolitical developments, specifically the U.S. tariff and Chinese restriction on impact of medical devices. We will remain agile in relation to potential opportunities and challenges on our business fundamentals. While we expect better performance in the second half of the year as it was the case over the last years, we anticipate a more balanced first and second half weighting than in '24. More specifically, we expect IBA Technologies to contribute less compared to H2 '24 due to the pace of backlog conversion and product mix. I'm now leaving the floor to Olivier for his closing remarks.
Olivier Legrain: Thank you very much, Catherine. And when I look back at the first half of this year, I'm proud of the performance of our teams and grateful towards our partners, our customers, suppliers, shareholders and financing partners. My key takeaways are the following: order intake is more than encouraging in a volatile environment, confirming the added value of our solutions to our customers. We posted a strong financial performance across all our business units with Proton Therapy achieving an impressive scale. We will continue to actively manage our cash position. And finally, these elements confirm that we are back on track for our 2025 full year guidance. More generally, these results reinforce our confidence in our capabilities to execute and our ability to adapt in an evolving market conditions.
Thomas Pevenage: Thank you very much to the audience for listening to our results presentation. You will also find our financial calendar on this page. We will now move on to the Q&A session. Please raise your virtual hands if you have a question. [Operator Instructions] Okay. So starting with Laura.
Laura Roba: Laura Roba from Degroof Petercam. Congratulations on the results. I have 3 questions. First one on gross margin. How should we look at the evolution in H2 and more in general for the full year? Because if I understood correctly, it went down primarily due to the execution of lower-margin projects, but you also mentioned some productivity improvements. So to what extent can we expect these improvements to compensate in the end for the lower-margin projects in H2? So that was the first one. Second one, in Proton Therapy, could you provide an update on China and more specifically on CGN because we didn't see a lot coming from their side so far. So I was wondering if everything is still on track there? And also, if you see Mevion stepping up in China? And does that have an impact? And then finally, you mentioned in the press release a few significant customer-related delays that have resulted in notable cost overruns. So could you perhaps elaborate on these cost overruns and give us an idea of the other order of magnitude of those, please?
Catherine Vandenborre: So I will start with your first question, Laura, relating to the gross margin in H2. And maybe I will extend to, let's say, what we can expect in H2 in general gross margin being, of course, part of it. Like you rightly mentioned, you need to read the expectation relating to H2 in the context of the full guidance that we have issued and more specifically the EUR 25 million REBIT. That's one element. Second element, you can expect H2 to be stronger than H1 in 2025. If you would use 2024 as a reference to try to estimate how H2 2025 would look like, that would go a step too far, let's say. So stronger H2 than H1, but less strong -- that's what we had in 2024. So let's say, a little bit more balanced than what we had in 2024. The progress that you can expect in H2 compared to H1, they will be mainly related to gross margin. And there, I'm coming more concretely to your question. So we expect, especially on gross margin, a stronger H2 than H1 in '25, and it will come from different elements and maybe some of them may play in different direction. The first element is that we expect a higher contribution of Proton Therapy, so Clinical business than Technologies. But in Proton Therapy, we expect also projects with higher margin in H2 than we had in H1. So that's one element. Second element, indeed, we communicated on the efficiencies and some of the efficiencies related to OpEx [indiscernible] to the gross margin indeed to make more concrete, our guidance and to give you confidence in the fact that we will indeed grow the margin in H2 '25 compared to H1 '25. OpEx, last element. Next to gross margin, we have OpEx. We expect OpEx to be broadly balanced between H1 and H2.
Olivier Legrain: So on China, I think it's fair to say that the market has been slow over the last 3, 4 years, mainly because of -- it's true for all medical device across the board. It's true for radiation therapy and it's true for Proton Therapy, mainly due to anticorruption law, that is a stall decision. So CGN has been impacted by that, by the slow demand. Now it's true that the licenses are out there. So we expect to see the market to resume in the next few years. CGN has signed 2 deals, one of them is active and currently going into installation. The other one is still waiting for confirmation and a down payment. But you rightfully picked that the market share of CGN in China is somehow around 30% due to the aggressiveness of one of the competitor and a faster shift of the Chinese market to single room. So this is something actually we currently assess with CGN and one of the reasons why we believe it's important for us to launch the ProteusONE in China, which we will do before the end of the year, together with CGN when it comes to the go-to-market and with question mark on local production, as we have disclosed in the presentation. So the market is due to resume. We believe we are very well positioned with CGN, especially in the context of regulation -- current regulation between EU and China. And -- but we also believe it's time for us to be more present with the single room, together with CGN in the market to basically occupy together with them the single room niche that is opening in China as well.
Catherine Vandenborre: So now delays. I would mention 2 to 3 elements. The first one is the Spanish file that you know quite well where we face some delay in the shipments of the equipment that we have built during H1 '25 and earlier. And so there are some costs that we have to support linked to that related to our storage facilities related to the fact that we need to maintain the installation on our side and so at our cost to, let's say, opportunity cost in funding and so on and so forth. So that's one element on which I can't comment on the cost because it's part of discussions that we are currently having with the Ministry of Health in Spain. Next to that, we have also some, let's say, cost overrun linked to emerging geographies like, for example, Argentina and there you see the cost, especially hyperinflation below REBIT in the press release.
Thomas Pevenage: Can we move to Michiel.
Henri de Romree: We don't hear you if you tried to talk.
Michiel Declercq: Is it better now?
Henri de Romree: It's better, yes.
Michiel Declercq: Michiel from KBC Securities. I had 2 questions, please. First one is quite straightforward. Just on the free cash flow and the working capital drag in the first half. This was already well flagged, of course, previously, and you mentioned a bit of a normalization and improvement in 2026. But looking at the second half, what should we expect there? Should we expect continued investment in the working capital or already some improvement? That's the first question. And the second question would be on the PT activity. So you mentioned that despite the tariffs and the Big Beautiful Bill that the activity in the U.S. remains high. In the press release, you also mentioned that in the short term, you don't expect any big impact from that Big Bill because of the lower share of Medicaid. But looking a bit further down the line, this will, of course, weigh on the budgets of the hospitals in the longer term. Do you see any hesitation here from the hospitals? Or how are they looking at this? Because, of course, Proton Therapy is quite a big investment. So interested to hear your views on that point in the longer term.
Catherine Vandenborre: Okay. So I will take the first question on the free cash flow. And I will start by saying, unfortunately, there is no simple answer to your question. I heard you saying it's a straightforward question. Why am I saying there is no simple answer? Because it all depends on, let's say, evolution of different elements. The first one is the general order intake and down payments that we have, so a lot of files. But the second one is linked to the Spanish file, which is, let's say, creating the bulk of this working capital movements that we see. And there, there are different scenarios. The first scenario is that based on the dialogue that we have initiated with the Minister of Health, we can find some kind of agreement on reading of the public tender that was organized and gets paid while, let's say, equipment is not necessarily shipped exactly on to the hospital. If we are able to reach such an agreement, of course, the situation will improve. However, it's not the most likely scenario. Why isn't it the most likely scenario? Because like I said, the material has been ordered based on a public tender. And like you know, rules in public tenders are -- used to be strictly interpreted and that's where we are today -- that's what we are facing today a rather strict interpretation of the public tender rules and conditions that we sense. Alternatively, we will start shipping the material in 2025 and 2026. So based on the information we have from the Spanish Minister of Health, the hospital should be ready for one of them in 2025 and for the order of them in 2026. So in total, it's about 3 hospitals that we are talking. In that case, the reversal will take place gradually. And I would then not expect in this situation, I would not expect an improvement by year-end of this year. So I would take a rather conservative approach in this one, with still a net debt position at year- end.
Olivier Legrain: Thank you, Catherine. When it comes to Proton Therapy adoption in the U.S. I have to say it's quite the opposite. The excitement for Proton Therapy modality in the U.S. is increasing on the back of what we have presented during the Capital Market Day, which is the first ever Level 1 clinical evidence published by MD Anderson on head and neck. And the PI has actually made a number of presentations when in -- the 5-year follow-up is showing a better survival rate for the Proton Therapy arm, which is kind of super exciting for the field. So -- the point that we've made and that we are making together with our clinical partner in the U.S. and everywhere in the world is that, yes, maybe CapEx is high when it comes to Proton Therapy, but it's a super cost-effective way to treat a number of indications, starting with head and neck. And this Level 1 clinical evidence is really rebuilding a fantastic momentum, in particular, in the U.S. for the demand in Proton Therapy. So we have seen the big guys basically doubling up or reconfirming their Proton program. We have disclosed in the past the expansion of UPenn, MGH refurbishment, but we see all the big guys moving again or issuing tenders for increasing their capacity. As you know, MD Anderson has published a tender to add capacity in Houston and potentially furthermore for the region. So I think it's quite the opposite. And so first of all, the clinical evidence is coming. Number two, the cost effectiveness of Proton Therapy becomes more clear. And new innovation makes it even more cost effective, namely DynamicARC. DynamicARC will increase the capacity of a number of our customers. So they will be able to treat more patients more effectively without decreasing the quality of the treatment, which will further improve the business case or the clinical case, if I may say so, of the Proton Therapy everywhere in the world, but we know that the U.S. is usually the market where things are happening faster. So -- my expectation is to see an uptake in the demand for Proton Therapy in the U.S. over the next 24 months.
Thomas Pevenage: Okay. Now we can move to David.
David Vagman: So David Vagman from ING. So the first one is on China and on basically the interdiction or, let's say, the impossibility of exporting to China, the ProteusONE as it is now. Could you give us -- so you elaborated a bit on possible alternative, I heard it. But could you give us a rough idea of the potential cost of opportunity if you were not addressing at all the potential P1 market there. So compared to your 2028 sales target of 5%, 7%. So what is at stake? What is the risk there? Second question on your growth investment on the OpEx side. They're actually quite under control for a year of 30% sales growth this year. So should we still expect the OpEx to grow to like roughly, I think, 30% of sales by 2028. So how fast could this growth investment happen on the OpEx side? And then last question, a bit on a mysterious comment, I would say, in the press release about your financial structure. So you're saying that management is reviewing the financial structure to ensure it remains aligned with the evolving working capital cycle and then planned strategic investments. So -- yes, and this is monitoring the IBA growth strategy. So what does it exactly mean?
Catherine Vandenborre: Thank you for your question, David. I will start with the first one on China and cost of opportunities. And I will be very clear and go quickly on this one because in the guidance that was communicated to you at the Capital Market Day, there were no assumption regarding new sales in China for Proton Therapy. And so everything that would come on top, I'm speaking about P1, it was also your question P1 -- everything that would come on top would be, let's say, something nice compared to the guidance. It would be an upside. So you were asking how much at risk there for P1, answer is 0.
Olivier Legrain: If I may add on that -- I'm just back from China, by the way. So I think we have genuinely a superior technology than whatever is available in the Chinese market with ProteusONE. And here, I speak specifically on the single room market. So there is indeed an exemption role that we are very actively investigating actually with the support of the Belgian diplomacy and the European diplomacy. And if they are on the call, I would like to thank them for the support. So that's one way to go. The other way to go, as you know, David, IBA, is for a long time in China and we have many, many, many friends there, and we have one big friend called CGN, which is fully geared up for local production with ProteusPLUS. But it's certainly a way that we could activate pretty fast should we need to do so. So I agree with Catherine. It's indeed an upside. But it's an upside we are determined to go get. So that's something we are actively pursuing, let's say so -- and on top of that, as Catherine said, we're super well positioned when it comes to ProteusPLUS. So that's something not to be underestimated.
Catherine Vandenborre: Then on OpEx, so like I already mentioned, OpEx in H2 should be broadly in line with H1 behind broadly. So you might have a slight increase in H2 compared to H1. But all in all, I would indeed expect that OpEx in '25 would be lower than the 30%. And then on the mysterious sentence that you were referring to, I would comment saying that I think it's just part of normal initiative of a new starting CFO to review the funding of the company, to review the long-term balances, long-term assets, long-term liabilities and to go deep in the understanding of the needs of the company, evolving working capital cycle, possible future investments. So there is nothing special behind this sentence, except, of course, that it's an exercise that is only normal for the management of a company like IBA.
David Vagman: Okay. Maybe a very quick follow-up on the OpEx. I was also referring -- because I heard your comment on H2. I was also referring to 2026, '27 and '28. So if you're still ambitioning to get to 30% of sales by 2028, how fast you wanted to do this growth investment because then we don't have that much of a step-up this year. But then I would expect like another 20 -- if you grow 10%, let's say, this year, that we have then another 20% of growth a bit roughly in OpEx in the coming years?
Catherine Vandenborre: No. So that's not what we are expecting. And so coming back to the guidance like it was said, it was around 30%. But that's something that you need to read also with the gross margin altogether. But no, we don't expect to go up to 30% next year.
Olivier Legrain: I think it has to do with strategic opportunities as well. And one of them, if I speak for IBA Clinical is market access for proton therapy. So we are closely monitoring when and how much is appropriate to invest to accelerate the penetration of proton therapy. Same thing on the innovation, keeping in mind, as Catherine said, the development of the gross margin, the growth of the market as well as our commitment not to grow OpEx settling down to above 30%. So that's something we monitor.
Thomas Pevenage: There could be no further hands raised. So [ Simon ] go ahead, please.
Unidentified Analyst: Just elaborating on the question, before on the costs -- in the first half, were there any additional costs for that market access increase for Proton Therapy and the innovation in astatine? And can you quantify them?
Olivier Legrain: So for market access is very easy, very -- so it's something that we are still assessing. And when it comes to astatine, I leave the floor to Henri.
Henri de Romree: So [ Simon ], we did great progress in terms of developing that dedicated machine. So yes, there were some costs incurred. And I'm not giving you the exact details. But there was an amount indeed allocated to that in the first semester, as we said we would do in this year, so...
Unidentified Analyst: Okay. And on astatine, we are still waiting for a final agreement with your partner, right? Is there a term on that? Would that happen before year-end? Or because you are spending money without having a clear cost division, I have the feeling.
Henri de Romree: [ Simon ], I think it's a good push. So you refer to the discussions we had with Framatome.
Unidentified Analyst: yes.
Henri de Romree: And in any case, we would be the party developing the machine. And so what is it that we engage to develop that machine is for sure, not lost. It's really part of our willingness to be playing a leading role in Astatine-211. The partnership with Framatome is one way to further develop in that market. You may have noticed that the CEO of Astatine has been appointed CEO of EDF in France and with that change of CEO, we incurred a bit of a resetting in those conversations that stays very positive. And at the moment where there will be something concrete out of that, we'll keep you appraised.
Olivier Legrain: I can agree with what Henri just said, Framatome or not, Astatine-211 is a fantastic opportunity for IBA to sell dedicated cyclotron, and it's our duty to actually invest into the development of a new platform, to be able to play a role when this market will take...
Unidentified Analyst: Okay. And then maybe an additional one on China. Today, how many Proteus -- similar single rooms are in the market? And secondly, I mean, it sounds almost evident that you go together with CGN on this one. And would that involve -- I mean, for the ProteusPLUS, that was quite a nice investment we saw of over EUR 100 million. Would that be also something that we can still expect on the single room if you would go route with -- that is similar as a ProteusPLUS?
Olivier Legrain: So today, reality in China, there is one single room treating patients. It's always difficult to comment on the deals that have been signed because, as you know, IBA has a very strict policy when it comes to announced deals, which is not always followed by unlisted competitors. So I think there's a number of deals that have been announced. For sure, I would say 3 of them are real. One is treating patients. So it's a preliminary sign that the single room segment is opening indeed. And you refer to the licensing agreement. Licensing is one way to go, but it's not the only way. So it's a possibility, but it's not a certainty. And I cannot comment further. I think -- yes, there is nothing to say about that at this stage.
Unidentified Analyst: Yes. Just maybe CGN producing ProteusPLUS or producing ProteusONE, it's very similar or not -- would it involve a big change for them in the setup? No?
Olivier Legrain: Well, you have the infrastructure and you came in and visited our factory here before. So you know that to produce a ProteusONE cyclotron is actually required a bit less of infrastructure than the ProteusPLUS. But having said that, the technology is very different. So it requires a different set of skills, different set of technologies, different set of suppliers. So it's a bit of work. It's not something you do overnight.
Thomas Pevenage: There seems to be no further questions. That one was the last minute one. In that case, please let me thank you all very much for your support and attention. We're all looking forward to continuing the dialogue with you. So we wish you a very nice day or end of day. David, sorry, you raise your hand, but...
David Vagman: No, that's fine, that's fine. We can leave it at that.
Henri de Romree: Okay. Super.
Olivier Legrain: Thank you very much.
Henri de Romree: Good day to you all. Thank you. Bye.